Operator: Good day, everyone and welcome to the Globe Specialty Metals’ Fourth Quarter and Fiscal Year End 2014 Earnings Results Conference Call. This call is being recorded. With us today from the company is Jeff Bradley, Chief Executive Officer; and Joe Ragan, Chief Financial Officer. At this time, I would like to turn the call over to Mr. Ragan. Please go ahead, sir.
Joe Ragan: Thank you. Good morning and thank you for joining the Globe Specialty Metals’ fourth quarter of fiscal year 2014 conference call. I am going to read a brief statement and then hand it over to our CEO, Jeff Bradley. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Globe’s most recent SEC filings and the exhibit to those filings, which are available on our webpage, www.glbsm.com. In addition, this discussion includes EBITDA, adjusted EBITDA and adjusted diluted earnings per share, which are non-GAAP measures. Reconciliations of these non-GAAP measures may be found in our most recent SEC filings. Now, for Jeff Bradley, Globe Specialty Metals’ CEO.
Jeff Bradley: Good morning, everyone and thank you for joining Joe and me on the call this morning to discuss our fiscal 2014 fourth quarter and fiscal year-end. I am pleased to report that we finished fiscal 2014 with the highest quarterly earnings a year and higher full year earnings versus fiscal 2013. Fiscal 4Q adjusted EBITDA of $33.1 million was 39% higher than last year's fourth quarter and 12% higher than last quarter. As a result of successful cost savings initiatives coupled with improved operating efficiencies, fiscal 2014’s gross margin also increased. For the year, the gross margin increased from 12.6% in fiscal 2013 to 15.6% this year and we finished the year out with 18.3% in the fourth quarter. This was the fifth consecutive quarter of higher gross margins. I am known for saying around the company don't take your foot off the gas and I can ensure you our foot will remain on the gas where it comes to driving our cost and improving operating efficiencies in our plans for balance of this year and well into the future. Shipments also increased for the fiscal year end of fourth quarter. This is a result of the continuing improvement we're seeing from the end markets we serve. The chemical and specifically silicon’s market is performing well as U.S. and global GDP continues to improve. Silicons are used in many different industries including construction, automotive electronics, medial, personal care products. All of which continue to experience solid demand growth. U.S. auto sales are projected to exceed 15 million units this year, which is driving more demand for silicon metal and silicon alloys everything from the rims, tires, [toys] and electronics to engine blocks and brake parts. The trend to use more aluminum in autos which has been in place for decades expected to keep increasing which in turn means more silicon metal will be needed. Another growing end market for silicon is solar, and it is the fastest growing of our end markets. Solar installations in the U.S. and the world wide will be higher than last year and are forecast to continue growing at double digit rates. (Inaudible) global 2014 installations range anywhere from 40 to 50 gigawatts which translate to approximately 240,000 to 300,000 metric tons of silicon metal needed. Our silicon alloys business also produced very good results for the quarter. Demand remains strong and sales of high purity and specialty grades increased. We continue to implement process improvements so that we can lower our production cost for all grades including specialty, high purity ferrous silicon and the foundry alloys. We continue to make progress at our South African, Siltech ferrous silicon plant and expect the facility to start up in the fourth calendar quarter of this year. Our [fume] business also produced very good result for the quarter and the full year. Pricing and volume were both higher the two largest end markets for fume are cement which is predominantly the construction and oil and gas drilling. The demand outlook for both of these end markets is very good. On the business development side, we continue to pursue accretive acquisitions that will drive shareholder value and additionally, we have continue returning cash to shareholders through our quarterly dividend and share repurchases in the quarter. Joe?
Joe Ragan: Thanks, Jeff. We’re going to go to the slide deck now starting with slide number two. Adjusted diluted earnings per share for the fourth quarter was $0.18 per share, up 100% from the prior year and up 29% sequentially. These results were driven by strong EBITDA performance, which increased 39% from the prior year and 12% from the prior quarter on an adjusted basis. Contributing to the adjusted EBITDA performance were significant increases in gross margin to 18.3% for the quarter, compared to 12.6% last year and 16.8% from Q3. During the fourth quarter, volumes increased which drove increases in both revenues and margins when compared to the prior quarter. Sales volumes increased 16% year-over-year and 2% sequentially, shipping over 75,000 metric tons of product, producing a sales increase of 13% year-over-year and 5% when compared to the third quarter of the fiscal year. And based on these results, the Board of Directors has announced a quarterly dividend of $0.075 per share. Next slide. Sales volumes for the year were up 5% from the prior year, selling nearly 278,000 metric tons of product. The gross margin percentage increased sequentially for the year 240 basis points when compared to fiscal 2013. Adjusted EBITDA was up 11% to $110 million for the year and adjusted diluted earnings per share were $0.53, up 33% from the prior year. Next slide. Sales increased 13% year-over-year and 5% sequentially while operating income increased 74% year-over-year and 26% sequentially, representing margin expansion in both operating and the EBITDA margins. Net income improved 89% year-over-year and 30% when compared to the third quarter, illustrating the strong overall operating performance of the company during the quarter. Next slide. The largest special items that occurred during the quarter were related to the Siltech start-up in South Africa and the cost related to the acquisition of a by-product sales contract we acquired during the quarter. Approximately $1 million was spent as we execute the start-up of the South African plant which is on track for the start-up of both furnaces by year-end. Additionally, we finished the acquisition of a contract for by-products from a third party which will assist in driving by-product sales in the future. The results of these and other adjustment noted on the slide was an adjusted EBITDA for the quarter of $33.1 million, up 12% sequentially for the quarter. Next slide. On a reported basis, results were significantly higher than the third quarter of 2014. Results across the income statement were improved on a reported basis when compared to the prior quarter. Next slide. During the quarter, we had improved pricing and mix which drove the increase in EBITDA. This resulted in higher gross margins and the EBITDA margins during the quarter which contributed to ending the quarter with adjusted EBITDA of $33.1 million. And the last slide. Cash generations from operations for the quarter were strong but offset by planned capital expenditures, dividends and share repurchases. As we look forward to fiscal year 2015, we expect solid results with the impact of price increases reading through following January 1, 2015 and the contract renegotiation that will occur during November and December of 2014. We’d now like to open the call to questions.
Operator: (Operator Instructions). Our first question comes from the line of Ian Corydon of B. Riley & Co. Your line is open, please go ahead.
Ian Corydon - B. Riley & Co.: Thank you. I had a question on Siltech, understanding it will start up in the fourth quarter, when will it ramp to capacity and what -- can you just remind us what that capacity will be?
Jeff Bradley: Yes, Ian good morning. We will have the plant up and operating by the end of the year. I would plan a ramp in the first quarter and we should be at full capacity by the beginning of the second quarter. And we’re looking for a capacity in the 50,000 ton range.
Ian Corydon - B. Riley & Co.: Okay. And what's the total CapEx budget for fiscal ‘15?
Joe Ragan: We generally don't give the actual number, but it will approximate where depreciation is which is about $45 million. That's a little bit higher than we have had in the past primarily due to the CapEx investment in Siltech.
Ian Corydon - B. Riley & Co.: Okay. And can you talk about any outages that might be planned for fiscal '15?
Jeff Bradley: Ian, we have only planned our outage schedule through the balance of the calendar. We have not planned anything for the calendar year, next year. As we have in any quarter we have anywhere from one to three outages within a quarter. Typically in the summer months you would have more outages because in a number of planned repairing rates are higher. What we typically do not disclose exactly how many outages in which plants and which of the furnaces we have the outages in. I can tell you that we will have more outages in this summer quarter right now than we will in the fourth quarter.
Ian Corydon - B. Riley & Co.: Got it. And last question is on the bi-product sales contract that you acquired, could you just provide a little more information on what that contract is and what the impact of that will be going forward?
Jeff Bradley: We really consider this more of a bi-product, more of a prime product which is our fume sales so that’s what it's related to. We haven't given any additional detail there, but it's something that we'll drive in the future greater contract sales of fume.
Ian Corydon - B. Riley & Co.: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Garrett Nelson of BB&T Capital Markets. Your line is open. Please go ahead.
Garrett Nelson - BB&T Capital Markets: Good morning, Jeff and Joe and congrats on another solid quarter. We are a bit surprised to see that your silicon metal realizations were flat quarter-over-quarter given that spot prices has continued to move higher. So I am just wondering why the metal realization didn’t move up a little bit and has your pricing mix changed at all, are you still roughly two thirds index and one third contract?
Jeff Bradley: Garrett the silicon metal price we show in the press release is made up of the average selling price of the direct sale business at our JV third party sales at the (inaudible) and the alloy plant where we have joint ventures with Dow Corning, 49% of the output of those plants is sold at a cost plus price to Dow Corning. Now the state where we have done a good job lowering our cost which means the price on the ton sold to Dow Corning is impacted. If we did breakout the two prices, the joint venture price and the direct sale price, you would have seen a higher silicon metal break on direct sales business in this quarter.
Joe Ragan: Yes the dynamic just to add to that Gerard is that as we went to full capacity at the (inaudible) plant that actually drove that JV price lower at the same time that the index price was going higher. So as Joe said if we broke it out you would see a incremental increase in price there.
Garrett Nelson - BB&T Capital Markets: Got it, okay that’s helpful. I am also trying to get a better sense of Globe’s switching capacity if you will or how many times of alloys capacity can be switched over to producing silicon metal given how much silicon metal prices have strengthened over the past several months relative to ferrous silicon and some of the alloys products. Can you help us with how we should be thinking about that number across the portfolio?
Jeff Bradley: Yes we stated that we have been able to configure furnaces and some of the plans to be able to switch back and forth between silicon alloys and silicon metal. We have not disclosed how many furnaces, we have the ability to do that with and we're not going to do that. I can't tell you at the price levels today of silicon metal, the margins are higher on silicon metal than they are on ferrous silicon. And if we do have the opportunity as we get into next year with the demand picture forecasted to be a very strong, if we do have the opportunity to convert a furnace from ferrous silicon to silicon metal, we would definitely look at doing that.
Garrett Nelson - BB&T Capital Markets: Okay. And then Joe just a housekeeping question, what effective tax rate should we be modeling for fiscal 2015? Is 29% to 30% a good number?
Joe Ragan: We're looking at about 32%, so that's what we are targeting at the moment.
Garrett Nelson - BB&T Capital Markets: Okay. Thanks a lot.
Joe Ragan: Okay Garrett.
Operator: Thank you. Our next question comes from the line of Phil Gibbs of KeyBanc Capital Markets. Your line is open. Please go ahead.
Phil Gibbs - KeyBanc Capital Markets: Good morning, thanks for taking my quarter. I had a question on Siltech when that finally gets embedded truly into the numbers as you ramp that up. Are you expecting that to be consistent with the gross margins of the legacy business or will it take a bit of time to get there?
Jeff Bradley: It will take a bit of time to get there. We're not going to have as rich of mix when we start out as we've been able to attain at our other plans. It’s going to take time to do that, I can tell you that our targeted end markets for Siltech are Asia and Europe, there is a lot of specialty high purity ferrous silicon in those markets and we intend to go after it, but we are going to be starting up, it looks like with more of the standard grade. And then as we prove ourselves out around the world, then we will move into the higher grades.
Phil Gibbs - KeyBanc Capital Markets: I appreciate the color on that Jeff. And I just had a second one. As far as backing core, are you now at the rate that you believe you will be operating at? You said you ramped up, but is there anything more to go there; are you essentially at or near capacity there at this point?
Jeff Bradley: No, we’ve gotten through the first quarter; we’ve gotten through the start-up. And yes, the plant is running at a full rate now which is about a 45,000 plus ton annual rate.
Phil Gibbs - KeyBanc Capital Markets: Okay. Thanks Jeff.
Jeff Bradley: Sure.
Operator: Thank you. Our next question comes from the line of Luke Folta of Jefferies. Your line is open. Please go ahead.
Luke Folta - Jefferies: Hi, good morning guys.
Jeff Bradley: Good morning Luke.
Joe Ragan: Good morning Luke.
Luke Folta - Jefferies: First question is on the capacity for silicon metal. You switched to furnace a little while back over to pure silicon or silicon alloys from silicon metal. It seems like everything else was operational for the duration of the quarter. Is this -- I think if we assume that there is no switching into next year, is this a good run rate in terms of what that shipment capacity is for silicon metal?
Jeff Bradley: Repeat the first part, Phil, I lost you a little bit at fluke. I mean Luke, I am sorry Luke.
Luke Folta - Jefferies: Yes. So, it seems like everything was running during the quarter, silicon metal side, so the amount of shipments that you had this quarter, is that a good run rate to think about into next year, assuming there is no switching?
Jeff Bradley: Yes.
Luke Folta - Jefferies: Okay, all right. Then also on SG&A over the last, if we think of that over the last few quarters, it’s somewhere in the neighborhood of about $17 million bucks, also would you think of that as a pretty good run rate into next year as well?
Jeff Bradley: Yes, that's a good run rate. We are looking for opportunities there every day, Luke.
Luke Folta - Jefferies: Okay, all right. And then on the by-product contract acquisition cost, that was a pretty big number for the full year, I think. Is the full $60 million that was reported in the release, is that all related to by-product contract?
Jeff Bradley: Yes, it is.
Luke Folta - Jefferies: Okay. And should we think of that as those costs are likely behind you now or would you expect there to be additional opportunities to acquire additional contracts going forward?
Jeff Bradley: I don’t know of any additional contracts that we’re looking to acquire. I think they are all behind us.
Luke Folta - Jefferies: Okay. And then I guess over the course of, I think you don’t want to disclose an exact number on this, but it’s just such a big part of your earnings story into next year, could you give us some sense of what the potential amount of ton is backed on fixed price that will reset into next year, some sense of what that is? I think an earlier caller said one-third, two-thirds; I seem to recall you were saying earlier this year that it might have been just over half with variable price this year. Anything you can say on that just to help us, any guess that number for next year?
Jeff Bradley: Yes. On the silicon metal and the silicon alloy said, all of the contracts are going to reset for next year.
Luke Folta - Jefferies: And how much of those I guess are fixed-price that will reset for next year?
Jeff Bradley: We haven’t given that number out. We typically don’t break out exactly how much is fixed and how much is indexed and how much is not fixed and spot. But this year, we had significantly more indexed and firm price.
Luke Folta - Jefferies: Okay. And is that kind of how you are expecting to look at it for next year in terms of your strategy on prices?
Jeff Bradley: I think I am not sure yet. We’re going to have to wait till we get towards the end of year and we start talking to customers. But I can assure you and everyone else that we're going to do everything we can to maximize the earnings for the company as we enter into next year and really take advantage of all this strong demand that we’re seeing across the board.
Luke Folta - Jefferies: Okay. Thanks a lot guys.
Jeff Bradley: Sure.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Jeff Bernstein of AH Lisanti. Your line is open. Please go ahead.
Jeff Bernstein - AH Lisanti: Hi guys. I wonder if you could just give a little bit of more of a real time update in terms of the discussions that you’re having in the market and could you touch a little bit on what’s going on with supplies out of Brazil? I guess the border situation there has gotten pretty dire and we’re hearing aluminum production down significantly there, maybe you could just talk to that a little bit.
Jeff Bradley: Sure. I think it's known that Brazil has been suffering from a severe drought. There is a fair amount of silicon capacity that’s down now. Now, there are four major producers there and we believe two of the producers are down and the other two have cut back capacity. On top of the closures and cut backs, the producers are facing significant increase in (inaudible) next year because the contracts they currently have are going reset next year. And all this is happening in a strong market and one that we all believe is going to stay strong into next year. What was the first point of the question, Jeff?
Jeff Bernstein - AH Lisanti: Is this leading to any kind of discussions in terms of customers fueling you out relative to this contract bid season?
Joe Ragan: It's still a little bit early. So, we really haven't -- I mean we haven't settled anything yet. So, give it a couple of more months.
Jeff Bernstein - AH Lisanti: Okay, thanks.
Operator: Thank you. Our next question is a follow-up from the line of Phil Gibbs of KeyBanc Capital Markets. Your line is open, please go ahead.
Phil Gibbs - KeyBanc Capital Markets: Thank you. I just wanted to clarify I think at the answer you gave to Luke, Jeff. Did you say that the silicon alloy prices were going to reset in calendar ‘15 just because I just wanted to make sure I heard that right I thought those were mostly on quarterly contracts?
Jeff Bradley: So they are quarterly, I mean we have quarterly and annual; some are firm price for the quarter, some are set to indexes. So what I really meant was when we get into January, it will be another quarter, so they will all set again.
Phil Gibbs - KeyBanc Capital Markets: Okay, thanks much. Good luck.
Jeff Bradley: Sure, thank you.
Operator: Thank you. And I am showing no further questions, and would like to turn the conference back over to management for any closing remarks.
Jeff Bradley: Thank you again everybody. We really appreciate the interest and we look forward to speaking with you again on the next call. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program. And you may all disconnect. Have a great rest of your day.